Operator: Ladies and gentlemen, good day, and welcome to the Southwest Gas Holdings Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the prepared remarks. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to Thomas Moran, Vice President, General Counsel and Corporate Secretary for Southwest Gas Holdings. Please go ahead, sir.
Thomas Moran: Thank you, Jess. Hello, everyone and welcome to the Southwest Gas Holdings third quarter 2022 earnings call. Throughout the call, we will be referencing presentation slides, which have been posted on our Investor Relations website. I am joined on today's call by Karen Haller, President and CEO of Southwest Gas Holdings; Justin Brown, President of Southwest Gas Corporation; Paul Daily, President and CEO of Centuri Group, and Greg Peterson, Senior Vice President and Chief Financial Officer. Please note that on today's call, the Company will address certain factors that may impact this year's earnings and provide some longer-term guidance. Some of the information that will be discussed today contains forward-looking statements. These statements are based on management's assumptions, which may or may not come true, and you should refer to the language on Slide 25 of this presentation and the press release, as well as our SEC filings for a description of the factors that may cause actual results to differ from our forward-looking statements. All forward-looking statements are made as of today and we assume no obligation to update any such statements. I'll now turn the call over to Karen.
Karen Haller: Thanks, Tom. I'm pleased you are joining us today to discuss the Southwest Gas Holdings third quarter results. Turning to Slide 4, I'd like to provide a brief strategic update. Earlier this week, we announced that Robert Stefani will be joining Southwest Gas as Senior Vice President and CFO effective November 30, 2022. Rob was most recently CFO and Treasurer at PECO Energy, an Exelon company, and we are pleased to be bringing in such an accomplished leader to join our team. Rob is strategically oriented and brings strong skills in financial planning and analysis, operational finance, accounting and treasury function. As previously announced, Greg Peterson will be retiring from his position as CFO on November 30. We want to thank Greg for his 27 years of dedication and contributions to Southwest Gas. We are continuing to review strategic alternatives for MountainWest and Centuri, including a sale or spin-off of Centuri. I appreciate that many of you are looking for an answer today regarding the timing of the strategic process. We are in the later stages of the process and remain actively engaged. We do not plan to provide additional details regarding the process, the timing, or speculate on potential outcomes while the process is ongoing. Our objective remains to maximize value for all stockholders and we are expeditiously working towards that objective. Additionally, as previously announced, we have extended our cooperation agreement with Carl Icahn. Now that we've covered that update, I'd like to turn to the business. Moving to Slide 6. All this at Southwest Gas Holdings are energized by the opportunities we have in front of us. At the utility, we continue to strengthen financial and operational performance to accelerate value creation for our stockholders. We also continue to work to optimize our capital expenditure program. At Centuri, our Utility Infrastructure segment, we were confronted with significant inflationary pressures and customer supply chain challenges that affected margins during the quarter where we delivered record revenues. Finally, MountainWest remains an irreplaceable critical infrastructure asset that is structurally advantaged and could not be replicated today. Overall, the fundamentals of our business remain strong even in the face of challenging macroeconomic conditions. Safety and reliability remain a priority as we meet the energy needs of our customers across our portfolio. We are confident our business is positioned for sustained profitable growth as we continue to meet the energy needs of our customers across our three independently strong businesses. Greg will discuss details on the performance of our three segments. But in summary, our third quarter results were broadly in line with expectations for our natural gas distribution and pipeline and storage segments. While our Utility Infrastructure segment was impacted by inflationary and other pressures, we believe we are well positioned to produce strong outcomes for customers and the communities we serve and prioritize value creation for our stockholders. Now I'll turn the call over to Justin to discuss the utility.
Justin Brown: Thank you, Karen. On Slide 7, we provide an overview of several key initiatives we have underway at the utility. I want to start with an update on our pending Arizona general rate case. This is the largest rate case in the company's history and it's something that is top of mind for all of us as we continue to work toward a final decision in early 2023. We completed hearings in September and legal briefing just a couple weeks ago. We were fortunate to reach stipulations with both ACC staff and the residential utility consumer office on several key issues just prior to hearing. We reached agreement to support an ROE of 9.3% and to use an equity layer of 50%. Following the Board's announcement in August to suspend the strategic alternatives process for the utility, we developed an optimization plan consisting of seven different elements that will guide our focus at the utility over the next six to 12 months. We believe this plan provides an opportunity to level set where we have been by undertaking comprehensive analyses of existing capitalization and new business policies, as well as our budget process, and to take a deep dive into the current cost structure of the utility to make sure the investments we are making are efficient, targeted and are positively contributing to building a solid foundation for future success. We believe this evaluation will help us identify cost savings and efficiency opportunities that will help support the tremendous growth we have across our service territory and help pass on savings to our customers, improve ROEs, and results in positive returns for our stockholders. We believe these efforts will also compliment our commitment to delivering excellent customer service and operational efficiency. In fact, we were recently recognized by Forbes as one of the best instate employers this year, and we ranked number one by J.D. Power and customer satisfaction for businesses with natural gas service in the west, our third consecutive year. And we ranked first in five of the six J.D. Power study factors, including safety and reliability, corporate citizenship billing and payment, communications, and best in price. We have two very exciting sustainability and clean energy-related projects we are working on. First, we have signed an agreement to serve as a utility energy services contractor for a project at Fort Irwin National Security Center in California. If approved by the commission, we will expand our service territory by constructing a $39 million, 22.5-mile high pressure pipeline to serve the army base and help them essentially transform the base into a sustainable microgrid community. We believe this is an excellent project to demonstrate the role natural gas plays in a sustainable energy future by providing energy, reliability, resiliency, and security to the base, while also lowering GHG emissions and helping support both onsite combined heat and power and solar generation. We recently filed for approval of a hydrogen jet blending project in Northern California. This project proposes to utilize an electrolyzer to create hydrogen and test the blend of 5% to 20% hydrogen with natural gas. This project will provide invaluable information on the dynamics of hydrogen blending, especially in one of the coldest parts of our service territory. We are excited about this opportunity to demonstrate clean fuel technologies and the role they play in our future. We anticipate a commission decision sometime over the next 18 months. We are very excited about each of these initiatives and the opportunities that come with them. We also believe that following our comprehensive review and assessment as part of our optimization plan, that we will identify new opportunities and initiatives that'll help pave the ways we chart our future to becoming an industry leader in operating efficiency, safety, cost management, and customer service. I'll now turn the call over to Paul to provide an update on Centuri.
Paul Daily: Thank you, Justin. Centuri, this quarter generated $750 million in revenues, which was a 20% increase compared to last year's quarter, driven principally by the inclusion of Riggs Distler, but it was also a 6% organic increase from our legacy gas and electric infrastructure businesses. These same legacy businesses year-to-date have achieved a 7% organic growth rate. We have a strong core customer base of many of North America's largest blue chip utilities and are well positioned for continued success as we further expand with Riggs Distler and our entire enterprise into new high growth electric T&D, 5G and offshore wind markets. That being said, I do want to take a few moments to talk about the headwinds we faced this quarter and the pressure on margins from increased operating expenses in the current inflationary environment. There have been three principle impacts during Q3 and year-to-date that have affected us. One, inflation impacts primarily came from continued higher fuel and equipment rental costs along with subcontractor expenses. Fuel costs alone during the quarter were $9.5 million greater than last year. With 75 million miles driven year-to-date, providing infrastructure distribution transmission support. Our fuel expense this year has increased by $28 million over the same period last year. There is two additional factors that have been or as impacted or more impacted to the bottom line than inflationary and factors. Significantly less demand than normal for higher margin storm restoration services during the quarter and year-to-date, we expected a strong hurricane season in August in September, which is a normal start of the storm season to begin to drive above storm revenue for the quarter and the year, but there were no hurricanes until the end of September. Hurricane Fiona made landfall in Nova Scotia and Hurricane Ian made landfall in Florida, generated $18 million of revenues in Q3. But then that is not near the level expected. With the typical hurricane season coming to a close at the end of this month and given that we have experienced a $28 million year-to-date revenue reduction in storm work, it is very unlikely that we will experience this year anything close to our historical average of $75 million a year. It should be noted that if we had a normal storm year and then going forward our normal storm year, we have doubled the number of electric crews today that we had last year during the third quarter. So our storm work should be much, much higher during a normal storm year. The third, impact of continuing significant supply chain issues faced by our clients have in many instances led to severe shortages of critical components required to start or complete new builds and delays in receiving the materials required for maintenance, replacement or hardening work. The lead times for procurement are the key systems, materials and components required for electric T&D work have increased by 2x to 4x for most categories, with nearly all approaching or exceeding one year delivery time. Several examples, late times for non-distribution power transformers are now 100 to 120 weeks, that's 2x the normal delivery. Circuit breakers are 90 weeks, that's 3x and conductors are 80 weeks, that’s 4x what our utility clients normally take to get receive the conductors. Similar impacts are experienced among gas distribution clients. On risers and gas meters, on the average, it's now over 60 weeks lead time. How has this affected us? Numerous capital projects that we had in our budget for performance this year as backlog or as a high percentage in our weighted pipeline, have been delayed significantly and pushed into next year. Extended lead times also materially alters our work mix and therefore our ability to efficiently sequence work resulting in less productive execution, which then leads to underutilized equipment, our labor becomes much less productive and we realize increased project-related travel expenses. Centuri’s financial performance was also impacted this quarter by increased amortization expense, about $3 million, an increased interest expense, $10 million primarily related to the acquisition of Riggs Distler has interest expenses more than doubled due to higher rates on the acquisition debt. Additionally, we recognized a $5.7 million loss on a gas infrastructure contract this quarter. Although we generally did perform good work less than 17% a year of our revenue, we did this bid project is for one of our larger utility clients that we have worked for continuously for the last 15 years. Awarded in 2020, it had profitable execution all the way through the end of 2021, but this year the project encountered later in the year, inflationary cost increases in fuel and subcontractors and some unanticipated project specific job site conditions, impacting productivity along with permitting delays that were the responsibility of others. The project is anticipated to be substantially complete in Q4 this year, and we are working with our long tenured client to recover the incremental costs. Now, let me turn to some of the highlights that make us confident that Centuri’s business prospects are very strong and that we will successfully navigate the near-term headwinds. During the quarter, we want contract awards totaling a $175 million including a new Midwestern U.S. gas utility MSA customer. We also secure $20 million in annualized incremental revenue increases on existing customer contracts to offset certain inflationary cost increases. These increases are all incremental to our normal contract revenue adjustment costs that we achieved each year. In other words, they're all increases to our base rate and this will benefit 2023 and future years. On clean energy projects, we are excited to be awarded notice to proceed for a $217 million agreement with [Monster] to provide onshore assembly, fabrication and port logistics for additional offshore wind projects in the Northeastern United States. Together with our existing $135 million contracts and a pending $175 million award from Monster, we expect soon to have over $500 million of backlog supporting multi-year performance. We are very excited about these offshore projects, which will drive our revenue growth and increase our margins in 2023 and beyond. Additionally, we are very proud of our Linetec National Power Line and Riggs Distler storm crews and employees, which was comprised of 800 plus employees deployed across the Southeast and into Canada that helped restore power to countless communities after both Hurricane Fiona and Hurricane Ian. I also want to highlight our second annual sustainability report published this quarter. It clearly sets forth our commitment to making energy infrastructure more efficient while taking care of the people and places around us, a principle we value deeply. Finally, before I turn the call back to Karen, we anticipate current headwinds to persist in 2023, and we anticipate margin pressure from the economic environment to continue somewhat. After the close on Riggs Distler, we started our integration work and we have completed that integration and across the enterprise, we have taken $20 million in annualized expenses out of the business going forward. In addition, with over $20 plus million in that incremental revenue assistance from our customers that I previously mentioned, we expect to drive growth and perform significantly better going forward than we have been able to during 2022. Notwithstanding these headwinds, the fundamentals of our business remain very strong. We have strong backlog and a high quality project pipeline driven by an extremely strong multi-year outlook for our traditional gas and electric T&D markets and significant continuing multi-year additional growth opportunities in the 5G and offshore wind-related infrastructure. Karen?
Karen Haller: Thanks, Paul. Now I'm going to turn to some of MountainWest performance highlights this quarter. MountainWest delivered a $12.3 million of net income in the third quarter, while results were impacted by $5.7 million of pre-tax non-recurring expenses primarily associated with post acquisition integration costs. Once these expenses are strict out, these results were in line with company expectations. In addition, we see the potential for more than $200 million in incremental growth capital expenditure opportunities through 2025. Some of the details of each of those projects are included on the slide, including the Carbonate Tap expansion and Opal East expansion, which are already under contract. We expect to construct these projects at an EBITDA build multiple of less than 6x, driving meaningful value creation for stockholders. Throughout the integration, MountainWest has shown strong consistent cash flow generation, high performance, and superior levels of customer service. Since acquiring the business, we have made enhancements to business systems and procedures to improve overall customer service, we are successfully recontracting all available capacity and we have maintained subscription rates for all pipelines that are significantly more than 9%. We are pleased to say that we expect the integration of MountainWest to be mostly complete by the end of 2022 and moving into the first quarter of 2023, we expect the majority of TSA services will conclude and MountainWest will be a standalone organization fully integrated into Southwest Gas. The last thing I want to cover is the FERC rate review, which is solely focused on one of the three MountainWest pipelines, the MountainWest Overthrust pipeline. These kinds of rate reviews are relatively common and we are well advised in the discussions. We have filed our initial response with FERC. Our position is that the FERC’s estimate of a return on equity in excess of 30% is significantly overstated because the FERC’s model did not apply the FERC’s current requirements regarding the treatment of lease revenue. Current FERC precedent reaffirms as recently as a month ago requires costs and revenues relating to a lease of capacity to be excluded from the calculation for rate making purposes. Leaving all other assumptions from the FERC’s model the same properly excluding the cost and revenues received from Overthrust lease of capacity to Rockies Express Pipeline would result in a return on equity of 15.49%, which is below the level that has historically attracted FERCs interest. Any rate change would be perspective. We expect a final order in mid to late 2024 unless the rate review process results in a settlement. Now I'll turn the call over to Greg to discuss the financials.
Gregory Peterson: Thanks, Karen. We issued our third quarter earnings press release and filed our 10-Q earlier this morning. Please refer to these documents for additional background on our third quarter results. Let's start with a general overview of consolidated results. Slide 11 depicts consolidated operating results for the company and line items for each of the operating segments for the three, nine and 12-month periods. On an adjusted basis, we recognized the loss of $0.05 per share for the third quarter of 2022 versus adjusted EPS of $0.05 a share for the prior year quarter. Year-to-date 2022 adjusted EPS was a $1.82 compared to $2.49 for the year-to-date 2021 and adjusted 12 months diluted EPS was $3.27 in 2022 and $4.28 in 2021. Before I talk about each operating segment, let me touch on a corporate and administrative line item on this slides. This line item for the 2021 periods, those prior to our acquisition of MountainWest includes G&A amounts not charged the operating unit and a small amount of interest expense related to the holding company credit facility. With the acquisition of MountainWest a year in 2021, which was financed with holdco debt at a Fed fund rate increases, the interest component at holdco was $13.8 million for the third quarter of 2022. The corporate and administrative line also included $6.8 million pre-tax of strategic review and related costs for the third quarter of 2022, which are components in that adjustments line. Next, let's move to the operating segments, starting with utility results on Slide 12. As a reminder, due to the seasonality of our utility business, losses during the third quarter are expected. On a GAAP basis, utility results improve from a loss of $27.5 million in last year's third quarters to a loss of $22.2 million in the third quarter of this year. Operating margin grew by $11.4 million between the quarters driven by $4 million of rate relief primarily in Nevada and recognition of previously unrecovered COYL and VSP amounts in Arizona totaling $5.2 million. The addition of 40,000 customers provided $2 million in operating margins. The $6 million increase in other income includes $3 million of higher interest income, primarily on deferred purchase gas adjustment receivable balances, and a $3.3 million reduction in non-service pension costs offsetting these items with a temporary $1.5 million decline in returns on COLI policies. Interest expense increased $4.5 million due to higher interest rates on variable rate debt and higher average debt balances. Let's now turn to Slide 13, to discuss Centuri results. As shown on the right side of the slide, quarterly revenues for Legacy Centuri were up 6% between 2021 and 2022 as Paul mentioned. The revenues for Riggs Distler only reflect amounts since we acquired them at the end of August, 2021. Legacy Centuri revenues were up 7% for the year-to-date September, 2022 compared to the same period in 2021. Customer supply chain constraints and lower storm restoration service work impacted expected topline growth. The waterfall chart on the left side of the slide that fix the major components of the change in adjusted EBITDA between the nine months ended September, 2021 and the corresponding period in September, 2022.  Higher fuel costs continued from earlier this year and increased $21.2 million between nine-month period for Legacy Centuri operations. We have been successful with multiple utility companies that we serve in securing modifications in our contracts to adjust for fuel and other inflationary items going forward. A $5 million loss on a gas infrastructure job was recognized in the third quarter of 2022 due to unexpected cost overrun. As Paul mentioned, this project will be substantially complete by year-end and we are pursuing recovery from the customer for incremental costs. In connection with the lower storm restoration revenue that I mentioned earlier, the negative impact on EBITDA between periods was $6.4 million. While we cannot predict the level of storm work in any given period, we are proud of our responsiveness in reestablishing utility service for the families and businesses impacted by Hurricane Fiona and Ian. The Riggs Distler adjusted EBITDA contribution of $32.5 million is net of $6.4 million of higher fuel costs. The growth prospects of Riggs Distler including onshore projects for offshore win continue, but some work anticipated earlier this year has been temporarily delayed due to customer supply chain issues and changes in customer specifications. Turning to Slide 14, we can see the third quarter results of MountainWest since we acquired them on December 31, 2021. Both adjusted net income and adjusted EBITDA were in line with our internal expectations. MountainWest earned $12 million of net income in the third quarter and $17 million of adjusted net income after accounting for non-recurring expenses associated with standup integration costs, consultant fees and one-time employee benefits. EBITDA was $35 million during the quarter and adjusted EBITDA was $41 million excluding the previously mentioned cost. There is strong demand for natural gas transportation storage services in the Rocky Mount region, and we have identified several growth projects for the business. Since the acquisition, strong operating cash flows from MountainWest to provided support for parent company interests on the acquisition debt and dividends to stockholders. Let me now move to Slide 16 and our company guidance for 2022 and beyond. For Southwest Gas Corporation, we update our 2022 CapEx range to $650 million to $675 million previously with $600 million to $650 million. We continue to focus on making capital investments to support customer growth, pipe replacement programs and system improvements while optimizing the timing and amount of these investments. We reaffirm our utility net income estimate by $185 million to $195 million.  We continue to include the $3 million to $5 million of normalized COLI income in our 2022 projection. We reaffirm our five-year CapEx spending plan of $2.5 billion to $3.5 billion through 2026 and the resulting rate base increase CAGR of 5% to 7% during that same period. We reaffirm our five-year O&M per customer compound annual growth rate target of less than 1%, 2022 to 2026, and reaffirm our 8% plus return on equity goals at the utility for 2023 forward. At Centuri, we modified and tightened our 2022 revenue guide to $2.6 billion to $2.7 billion from the previous $2.65 billion to $2.8 billion due to reduction in expected storm restoration work and continued customer supply chain issues that have temporarily delayed certain projects. Due to continuing inflationary pressures, especially on fuel and some customer supply chain headwinds, we expect EBITDA margins of 8% to 8.5% in 2022 down from our previous guide of 10% to 11%. However, we believe these impacts are temporary and update our expectations that EBITDA margins will be 9.5% to 11% in 2023, previously 11% to 12%. For 2023 to 2026, we've reaffirm a forecasted adjusted EBITDA compound annual growth rate of 9% to 11%. At MountainWest, we reaffirm our estimated revenue range of $250 million to $255 million. We reaffirm our EBITDA margin range of 65% to 67%. We continue our integration plan of MountainWest adjusting for one-time integration and overlapping costs, and reiterate that MountainWest will accretive to EPS in 2022. As previously mentioned, we've identified over $200 million, previously $100 million in incremental growth CapEx investment opportunities at MountainWest through 2025. I'll now turn the call back over to Karen for some closing remarks.
Karen Haller: Thank you, Greg. Before we open the call for questions, I want touch on a couple of the key points we've made today. I want to emphasize that maximizing value for all stockholders is what guides our strategic plan and the decisions we make. Southwest Gas Corporation and MountainWest continue to deliver results in line with our expectations, and we are actively managing the business need or exceed those results. While Centuri faces some short-term headwind, fundamental drivers of the business are highly attractive, we are excited and confident in the future for Southwest Gas Holding and look forward to continuing to serve our communities. Operator, you can now open the call for questions.
Operator: Thank you. [Operator Instructions] We will go first to Richard Sunderland with JPMorgan. Your line is open. Please go ahead.
Richard Sunderland: Hi. Good morning and thank you for the time today. Karen, I appreciate the [indiscernible] comments on the strategic review, but just to attempt one question on this, I'm curious if you can frame the overall process backdrop and how that compares to your August update, just essentially is timing on track or it's being slipped a little bit?
Karen Haller: I would say that the process is taking maybe a little longer than we anticipated, but we are essentially on track. We will make announcements as soon as we have something. As I indicated, I think that we are approaching the later stages of the process and we will hope to make some announcements once that process concludes.
Richard Sunderland: Okay, understood. And switching gears to the results here, how are you dealing with the interest expense, particularly at the corporate level? You have this variable short-term debt and clearly headwind on the quarter kind of what's your strategy for handling debt over the long-term?
Gregory Peterson: Yes. Rich, this is Greg. We certainly, like most of the rest of the country, have been impacted by the Fed changes in interest rates, and we do have variable rate debt at both the holding company, the utility and at Centuri. We are working through those processes. As you're aware, we recently extended the term facility at the parent company. That term loan was originally due at December of this year, and we've extended to December of next year, while we work through the strategic review process. So we think that's a key component of what we will do with debt going forward.
Richard Sunderland: Got it. Appreciate the time today. Thank you.
Gregory Peterson: Thanks, Rich.
Operator: Our next question comes from Julien Dumoulin-Smith at Bank of America. Your line is open. Please go ahead.
Julien Dumoulin-Smith: Hey. Good morning. Good afternoon, team. Appreciate the time. Listen, I just wanted to come back to how you're thinking about the leverage question here. Really do you think that we'll be looking at terming things out? I would think that the answer on how to deal with leverage would come from the sale or spin consideration, but would you expect at that point in time to be turning things out or are there other considerations as you think about just the short-term debt impact? Are there other rate hedging considerations here that we should be considering on a full-year run rate basis? Just trying to get a sense on where that stands into 2023 and the strategic avenues that exist out there to deal with some of the volatility and rates that we've seen…
Gregory Peterson: Yes. Certainly, Julien, this is Greg. Again, as I mentioned, we are experiencing that volatility. The Fed has ramped up the Fed funds rate, multiple times this year, and we are feeling the impact. However, due to the strategic process that we're in, we are monitoring that and looking for the optimal time to either term out or with the proceeds from any sale to eliminate those debt obligations. But those are really all contingent on the process and we will monitor that going forward.
Julien Dumoulin-Smith: Got it. And then related, how are you think about handling just the – I appreciate that, that you've got rate activities underway already, but prospective inflation at the core business, the core regulated businesses specifically into 2023 here. How do you think about that and that driving subsequent rate activity here, if you will, if you can kind of talk how it aligns with your rate case cycle?
Justin Brown: Hey, Julien. It’s Justin. Yes. It's a great question. I think in our jurisdictions of Nevada and Arizona, there's some of the highest actually inflationary pressures across the nation from some of the data that I've seen, and so it obviously factors in, but I think historically, one thing to keep in mind, a lot of our rate case activity is actually driven by capital investments, given our cost management strategies and things. And so I'm sure it'll have an incremental effect, but really the drivers for us are also going to be the capital, timing and spend and filing of those future rate cases.
Julien Dumoulin-Smith: Excellent. All right. And then can you talk a little bit about the other businesses here, both the MountainWest opportunities, seems like growth is expanding a little bit, and then also just on the other businesses. How do you think about inflation just ability for margins to quote normalize here a little bit, if you don't mind.
Karen Haller: So with respect to the MountainWest opportunities, we've added some additional opportunities. The $100 million was through 2024. We see some additional opportunities. Most of those are coal-to-gas conversions. We've had a number of customers, and customers have reached out to us with respect to some of those conversions. And so we do see additional opportunities coming with respect to growth with MountainWest.
Gregory Peterson: And Julien, I'll step in. This is Greg. And just indicate that, yes, all of our companies, again, we are not immune from inflation and we are working with that. Paul mentioned in his remarks the things that we're doing in Centuri to try and mitigate and actually reverse some of those pressures by rightsizing our company, as we have assimilated now, Riggs Distler into the operations, we continue to look for cost saving measures and cost curbing measures in all of our businesses at the Utility, at MountainWest and at Centuri. So we are working to do that to minimize the impact to our customers on a go forward basis.
Paul Daily: This is Paul. In addition to the $20 plus million that I mentioned in incremental rate adjustments, those are rate adjustments to existing contracts that aren't up for renewal. We have probably 20% to 25% of our large MSAs that were up for renewals starting in 2023. And we've already renewed those. And of course, we've baked into those, the higher fuel rates and all the higher other inflationary rates on a multi-year basis. So that in addition to the $20 plus million that we have from the customers and then as Greg mentioned, we took – the integration with rates we took over $20 million out of business and it's non-recurring expense that's gone away.
Julien Dumoulin-Smith: Excellent guys. And hey Greg, best of luck. It's been a real pleasure.
Gregory Peterson: Thanks Julien. Appreciate that.
Operator: Our next question comes from Ryan Levine with Citi. Your line is open. Please go ahead.
Ryan Levine: Thank you. Yes, I wanted to focus on the 2023 guidance change for Centuri. Can you elaborate as to what percentage of the margin change was higher fuel storm activity and other changes on the cost structure relative to the new projects and incremental customers or growth opportunities you see?
Gregory Peterson: Yes, Ryan, this is Greg. I don't know that we've broken out the specific items there. Like I said, fuel is certainly a challenge for us, but as Paul mentioned, we are mitigating some of those challenges by rightsizing our operations and looking for other cost saving measures. But it is still going to be a challenging environment in 2023. And so that was the reason for the reduction in the EBITDA margin down to the 9.5% to 11% range from our previous range. But we still see us marked improvement from 2022, as you can see. And we do have continued revenue growth, so we're looking at all fronts there. But we will continue to see some cost pressures and some levels of inefficiencies going forward. But as the supply chain for our customers on the Centuri side continues to improve, we will be able to be more efficient, and have better mix of work and we think that will benefit us overall.
Ryan Levine: Good follow-up on that, I mean, are you saying that effectively all the EBITDA margin changes is diesel cost outlook and that gets the extent that that's the material portion. What forward curve are you assuming are prices outlook for 2023 in your guidance for diesel?
Gregory Peterson: Yes. I don't think we've put anything out as far as what we think diesel prices will be or fuel prices in general, but that is still an economic impact. I would love to see all fuel prices come down. The last time I filled up I tank here, it was just a tad below $5 a gallon for gas here in Las Vegas. So we will watch, but we do have the range of 9.5 to 11, it includes what we think are reasonable assumptions for fuel prices in 2023. 
Ryan Levine: Are you using the forward curve or are you creating your own forecast?
Gregory Peterson: I think if you look at the forward curve, that's kind of baked into what we have. But we are optimistic. It seems we will get better, but much like everything that's being prognosticated for the future, including interest rates, there's quite a bit of variability there.
Ryan Levine: Okay. And then I appreciate the breakout of organic versus inorganic for Centuri contribution for the quarter. Do you have a sense of the EBITDA contribution for the two – for the inorganic legacy assets? First, the incremental acquisition from EBITDA contribution? Is it comparable to the revenue mix?
Gregory Peterson: Yes. I don't think we would get into that. I will say, and I think we've mentioned this on previous calls. Ryan, this is Greg again, that the work that Riggs Distler does is generally the electric work and it has a little higher EBITDA margin. So that is an important piece of that, but we haven't broken up with specifics.
Ryan Levine: Okay. Appreciate the color. Thank you.
Operator: And that will conclude the Q&A portion of today's conference. I would now like to turn the conference back to Thomas Moran for closing remarks.
Thomas Moran: Thank you, Jess, and thank you all for joining us today. This concludes our conference call. We appreciate your interest in Southwest Gas Holdings. Have a good day.
Operator: Thank you. And again, ladies and gentlemen that concludes today's Southwest Gas Holdings third quarter 2022 earnings call and webcast. You may disconnect your line at this time, and have a wonderful day.